Operator: Welcome to the FTC Solar first quarter 2021 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during the session, you will need to press star, one on your telephone. If you require any further assistance, please press star, zero. I would now like to turn the conference over to your speaker today, Bill Michalek, Investor Relations. Please go ahead.
Bill Michalek : Thank you and welcome everyone to FTC Solar’s first quarterly earnings conference call as a public company, this being our first quarter 2021 report.  Prior to today’s call, you’ve likely had the opportunity to review our earnings release and supplemental slide presentation. If you’d not yet reviewed these documents, they are available on the Investor Relations section of our website at FTCsolar.com.  I’m joined today by FTC Solar’s President and Chief Executive Officer, Tony Etnyre, and Patrick Cook, the company’s Chief Financial Officer. Before we begin, let me remind everyone that today’s discussion contains forward-looking statements based on our assumption and beliefs in the current environment and speak only as of the current date. As such, these forward-looking statements include risks and uncertainties and actual results and events could differ materially from our current expectations. Please refer to our press release and our other SEC filings, including our registration statement on Form S-1 for more information on the specific risk factors. We assume no obligation to update such information except as required by law. As you would expect, we will discuss both GAAP and non-GAAP financial measures today. Please note that the earnings release issued this morning includes a full reconciliation of each non-GAAP financial measure to the nearest applicable GAAP measure. In addition, we’ll discuss our executed contracts and awarded orders, and our definitions for this metric is also included in our S-1 and press release.  With that, let me hand it over to Tony.
Tony Etnyre: Thanks Bill. Good morning everyone. Thank you for joining our first conference call as a public company. Becoming a publicly traded company is an important strategic milestone for FTC Solar. In the first quarter of 2021, we achieved $65.7 million in revenue, which was just more than double our performance in the first quarter of 2020. Our differentiated product is compelling to our customers, and we’re seeing that translate to continued growth in the business. We secured our first sale of our SunPath software product. After testing and validating the benefits of our software, that client indicated they would consider adding SunPath to all of their projects with us. We followed up that win with an additional project win in Q2.  While still very early in the launch of this offering, we’re excited about its long-term potential. We believe the current market dynamics provide the opportunity to accelerate adoption of SunPath as it directly improves project economics.  We were awarded two projects in Australia, kickstarting what we expect will be additional international wins in 2021, and finally our executed contracts and awarded orders have grown by 260% on a year-to-date basis through June 1, with another $55 million added since our IPO. Subtracting the amount included in reported first quarter revenue, that brings our new balance to $326 million with $159 million remaining, with expected delivery in 2021 and $167 million currently expected to be delivered in 2022. We’re pleased with our IPO complete. We’ve added $181 million to our balance sheet, which continues to be debt-free. This strong liquidity position allows us to pursue the many significant growth opportunities we see ahead and to continue our growth trajectory. At the outset of this call, let me make one thing very clear. We fully intend to build a value-creating business focused on maximizing long-term shareholder returns.  Since this is our first earnings call, I’ll give a brief overview of our company and why we believe we’re positioned for long-term growth. FTC is a fast-growing provider of tracker systems, software, and engineering services to the solar industry. As you know, the solar industry continues to see significant growth as a part of a multi-decade fundamental transformation in energy markets. Solar is now one of the lowest, if not the lowest cost source of new energy capacity. This has led to 49% annual growth in solar installations over the past decade with double-digit growth forecast to continue for the next 10 years and high-single-digit growth over the next 30 years. It’s a long runway. On top of that, the solar industry is also transitioning to trackers. Solar trackers significantly increase the energy production at a solar installation and lower the levelized cost of energy relative to the lower-yielding fixed tilt alternatives. As a result, an estimated 74% of new ground-mounted solar energy projects in the U.S. in 2020 elected to use trackers. Internationally, the transition to trackers is at an even earlier growth stage, representing another significant opportunity for our company. Our tracker solutions are a two module in portrait configuration - that means two panels in a portrait orientation on either side of a central fork tube. We believe two-in portrait trackers have several advantages versus one-in portrait, which has helped 2P grow at a faster relative rate within the tracker space. These include higher design flexibility and panel density, better site accessibility, and improved energy yield on bifacial panels. These advantages are significant as the industry quickly transitions to bifacial panels due to their low incremental costs relative to benefit and as difficult terrain and constrained or non-standard sites become more prevalent.  We believe our trackers offer additional unique advantages relative to competing offerings, including having fewer component parts to assemble, lower average steel content, less required wiring, and one of the highest standard tolerances in the industry for difficult terrain, and of note industry-leading installation speeds which lead to lower labor costs that, together with EPC savings on material due to our design methodologies can result in 1.5 to 2 cents per watt cost savings for customers.  On top of these hardware benefits, the recently released SunPath software product I highlighted earlier optimizes energy production in what we believe is a differentiated and more effective way and enables customers to achieve up to a 6% increase in energy yield at a solar installation. This can lead to millions of dollars in net incremental revenue for the customer while allowing us to participate in the incremental value as well with in a high margin software product. This unique value proposition of our products has led to rapid customer adoption and an annual revenue growth of 250% in 2020, making us, we believe, the leading two-in portrait tracker provider in the United States. On top of the newly strengthened balance sheet, significant industry tailwinds, and a differentiated offering, we believe we benefit from multiple drivers of future growth, including continued growth in the U.S. through increased wallet share with current customers as well as adding new customers, international expansion, increasing our value per unit through software and new products, as well as increasing our operating leverage from scale. We believe we’re well positioned for long-term growth. I’ll now shift to the current environment. As you’ve likely seen, global increases in the cost of logistics and commodities, including key inputs to trackers and solar arrays, have been significant and in some cases continue to accelerate. This includes steel and solar modules as well as shipping costs, which have increased dramatically due to COVID-related disruptions in the international supply chain, including port congestion, diminished container and vessel capacity, labor shortages, and other stresses on cargo infrastructure, each of which were exacerbated in Q1 and Q2 by the Suez Canal blockage. Since our IPO, steel pricing has increased 19%. Standard freight indexes are up 18%, not including the premium freight charges that are prevalent in the market today, and solar modules, a large input cost to our customers are also up 18%. These factors are causing solar developers to take a closer look at un-contracted projects and to reevaluate their construction timelines and project economics. Currently, we have seen certain developers push out project timelines by a quarter or two, and we expect developers to continue this process of reevaluation as the environment evolves. It’s important to note the actions we are taking in this environment. First, regarding steel; on pricing, we fix our steel input prices for the entire project prior to, concurrent with, or as soon as possible after signing a purchase order, and we do not currently have any project contracts for which the steel is not also contracted. We’re increasing pricing to our customers on new contracts to reflect the higher input costs. On supply, we’ve recently expanded our supply chain and contracted for the majority of our anticipated second half steel needs. Regarding logistics, which has been in some ways an even greater challenge, we’ve implemented innovative ways to reduce project logistics costs.  Third, we continue to make progress implementing our cost reduction road map that’s expected to yield results in the second half of this year. This road map in addition to procurements and volume manufacturing initiatives includes our design to value initiative that identifies opportunities to either reduce the materials needed to procure our tracker systems or optimize the design to reduce manufacturing costs.  Fourth, we’ve established a strong balance sheet. In addition to have a debt-free business, we added an approximate $180 million as part of the IPO, giving us significant ability to withstand market dislocation.  Finally, we see opportunity for revenue acceleration of our SunPath software product as increased site production is even more important to project economics in today’s environment. This software can significantly increase overall project profitability and mitigate upfront cost increases, helping us and our customers improve margins.  While commodities and logistics are in the midst of a near term dislocation, the tracker industry will continue to grow. The need for a higher yield from solar energy projects is more important than ever, and the long term trends in solar are still firmly in place with many powerful growth drivers.  It’s clear that trackers are the best mounting solution for the vast majority of projects and we’re seeing no evidence of that changing. In fact, while we’ve seen some movement of un-contracted projects pushing out, as mentioned, our overall project pipeline at FTC or the total amount of un-contracted projects in the solar energy market to which we have visibility as a potential sale opportunity has continued to grow. That’s reflective of the strong underlying trends related to solar energy and trackers as well as the development of our sales and support network in order to identify these opportunities. In summary, despite near term commodities and logistics disruptions, I believe we remain incredibly well positioned for long term growth. We have unique and differentiated solutions which are leading to rapid customer adoption. We are well positioned in a large and growing market with multiple growth drivers, an asset-light model, and a newly strengthened balance sheet, and we’re seeing increased adoption of our Voyager tracker and software year-over-year.  With that, I’ll turn it over to Patrick.
Patrick Cook: Thank you Tony, and good morning everyone. Before turning to your questions, I’ll take a moment to provide some additional insights to our first quarter results as well as some color regarding our outlook for the remainder of the year. First, I should point out that our year-over-year comparison for the first quarter reflects a significant amount of growth in our personnel and corporate infrastructure that has taken place over the last year to support our growth trajectory as well as operation costs that were necessary in anticipation of becoming a public company, and while we are confident that this investment was necessary and it sets us up well for future periods, it does not make for particularly meaningful comparisons.  Now for first quarter 2021, total revenue was $65.7 million, which represents growth in excess of 100% versus the first quarter of 2020. This includes a push of $800,000 of revenue from the first quarter to the second as a result of COVID-related supplier production delays. Our gross GAAP profit came in at $119,000, which was down approximately $7 million from the year-ago quarter. Such year-over-year decline was primarily driven by strong ramp in headcount and other overhead expense to support our growth that hits our gross margin line. In the year-ago quarter, we also had some higher margin Safe Harbor related sales that did not occur in the first quarter of this year. This number was lower than our internal plans due to additional shipping and logistics costs that were unable to be passed on to customers, which we discussed in our May 17 press release, as well as some product enhancement related expenses that carried over from 2020. The other thing I’ll note here is stock compensation expense. GAAP gross profit includes approximately $66,000 in stock compensation expense. That expense has been excluded from our non-GAAP figures.  Operating expenses increased to $8.1 million compared to $4.1 million in the year-ago quarter, also primarily affecting growth in personnel and staffing and other public company preparations. Non-GAAP net loss, which excludes a loss from an unconsolidated subsidiary as well as the impact of stock-based compensation, IPO related expenses, consulting fees, and other non-cash items was $6.7 million. The unconsolidated subsidiary is a company called Dimension Energy, which is a community solar developer based in Atlanta. We made an investment of approximately $4 million in 2018 and have so far received dividends of $2.1 million. We record a share of their profitability proportionate with our ownership stake to our P&L. Given its non-core nature to our business and our inability to forecast its profits, we back this out from our non-GAAP net income. We do not expect to maintain this ownership over the long term. GAAP net loss was $7.4 million, which included an approximately $800,000 gain on the extinguishment of debt related to PPP loan forgiveness.  Subsequent to the end of the quarter, we completed our initial public offering. Proceeds to the company net of fees and expenses and after a completion of the stock repurchase as described in our S-1 were approximately $181 million. We believe that this strong net liquidity position and additional access to capital differentiates us in the marketplace, gives customers and other stakeholders incremental confidence in our ability to invest in our growth, and positions us to weather any short-term uncertainties. With that, let’s turn to outlook. We continue to believe the second quarter will be the low point for the year from which we will grow. As mentioned earlier, we have seen developers push our projects which will result in lower revenues and deliveries during the second quarter, and much of this is already reflected in external expectations. In addition, in order to mitigate the impact of shipping surcharges, one of our customers opted to receive materials in the third quarter instead of the second. While we have reflected steel cost increases in our bids, we have seen additional premium logistics costs be required to secure space on vessels and meet project timelines. We are working with our customers to address these additional costs. Depending on the outcome of these discussions, this could have a negative impact on our second quarter profitability. Based on what we see today and accounting for that uncertainty in the second quarter, we currently expect revenue between $41 million and $46 million, non-GAAP operating expenses between $9.5 million and $10.5 million, and non-GAAP net loss between $17.3 million and $10.4 million.  As we look to the remainder of the year, we feel good about the many factors under our control, including our cost reduction road map. While the current environment with solar developers reviewing un-contracted projects warrants some caution in terms of revenue timing between quarters and between 2021 and 2022, based on what we see today, we believe the third quarter revenue will grow meaningfully over the second and we will make progress towards profitability on a non-GAAP net income basis. Fourth quarter revenue will continue to grow in a healthy manner with the expectation that we will achieve profitability on a non-GAAP net income basis. As you would expect, given our size, the fast pace of our growth and the large size of several projects in our pipeline, potential revenue moving between periods can have a considerable impact on a given period; however, we continue to expect to grow faster than the market and remain excited about our positioning and encouraged by the continued progress expanding our pipeline and executed contracts and awarded orders.  With that brief review of financial matters, that concludes our prepared remarks, and we will now turn the call over to the Operator for Q&A. Operator?
Operator: [Operator instructions] Our first question comes from Michael Weinstein with Credit Suisse. Your line is now open. If your line is muted, please un-mute, Mr. Weinstein.
Michael Weinstein: Sorry about that - yes, I was still on mute. Got it. Thanks for the question. With second quarter freight and shipping costs expected to be higher, or at least with a push out in that quarter, right, from at least that one large customer to avoid such a cost, what gives you confidence that this is still contained to this year; in other words, that you’re not going to see continued push-outs into next year or that freight costs will normalize throughout--by the end of this year?
Tony Etnyre: Thank you, Michael, I appreciate the question. This is Tony. As I mentioned in some of the actions that we were taking relative to the current market environment, around logistics what we’ve done is implement some different shipping methodologies for which we have greater visibility and control over the costs for the second half of the year, and so that is in alternate shipping methods not relying on container freight where we could be surprised by those kinds of surcharges. 
Michael Weinstein: Got you. In terms of the developers that you’re working with, are they--how are they feeling about projects and project delays due to the cost environment? One thing we’ve heard from large developers that we talked to at a conference a few weeks ago is that they are not delaying projects, but evidently at least there is a certain number of them obviously that are. I’m just wondering what you’re hearing across all your customers as you speak to them.
Tony Etnyre: Sure. I certainly can’t speak for the entire developer community. I can only speak to our experience and the discussions that we are having. What we see is for our contracted and awarded projects, we’re seeing those hold; however, we have had conversations with certain developers, and certainly not the breadth of the market, but certain developers who are electing where they have the ability to mitigate COD requirements and timelines to hold projects a quarter or so, and so I think the way I’d characterize it, it’s not a 100% decision across the developer community. It is for specific projects, which may have specific financial challenges that those elections are being made. But as I said, our contracted and awarded portion remains pretty consistent.
Michael Weinstein: Right, but it’s basically just a quarter or two is kind of the thinking that you’re seeing out there, not longer than that so far?
Tony Etnyre: That’s correct. 
Michael Weinstein: Okay. Just one last question - how do you think about the opex run rate as you go into the second half? Do you still expect higher costs for new products, such as high wind resistant trackers? When do you expect to reap benefits in that area?
Tony Etnyre: With respect to our cost road map, which is the main driver for the cost structure of the product, as Patrick noted, we believe we’re making good progress there. We’re confident in our ability to drive that cost structure, and the remarks Patrick made around the third and fourth quarter are reflective of that structure benefit.  With respect to opex costs, I’ll turn that to Patrick.
Patrick Cook: Yes, as it relates to opex, as we look to continue to build out our infrastructure, it’s really going to follow the growth. As we’ve talked about, we have a largely built out corporate infrastructure here in the U.S. and abroad. As we continue to grow and expand, we will look to leverage low-cost countries in order to expand our employee base in order to keep opex down while continuing to support our customers and their growing needs.
Michael Weinstein: Right, so it’s really tied to growth and as long as you can manage the growth within expectations, you’ll meet your targets for second half? 
Patrick Cook: That’s fair. 
Michael Weinstein: All right, thank you very much. I’ll pass it along.
Tony Etnyre: Thanks Michael.
Operator: Thank you. Our next question comes from Pavel Molchanov with Raymond James. Your line is now open.
Pavel Molchanov: Thanks for taking the question. Part of the back-end weighted revenue ramp in the current year was always the international dimension of your sales mix. Can you just give an update on the weighting of non-U.S. in your current revenue and what you’re anticipating in your directional guidance for the second half of the year?
Tony Etnyre: Thanks Pavel, appreciate the question. As I noted, in the first quarter we did secure our first international project, those two projects in Australia, and we’re continuing to see pipeline improvements internationally in the growth. We expect to see some conversion of international projects in 2021.  With respect to final percentages, I don’t think we’ve had much change since the IPO on that outlook. Patrick, I don’t know if you have any comments to make there?
Patrick Cook: No. I think the way we look at the international and U.S. markets, predominantly in 2021, the vast majority of our revenue is going to come from the U.S. with wins and expected increased revenue towards the back half of the year, and that outlook remains unchanged. 
Pavel Molchanov: That’s helpful. In addition to the cost escalation, one of the other dynamics we’ve watched in the last 60 days is one after another, Asian countries, India most notably but Malaysia and others as well are going back into lockdown 2.0. In some cases, manufacturing is among the sectors that are disrupted, and given your geographically diverse supply chain, have you had any component shortages or temporary dislocation because of COVID-related restrictions in Asia-Pacific?
Tony Etnyre: As Patrick noted, we did have in the first quarter a small shift in supplier output, which we moved some material deliveries out. I think your point, Pavel, on the diversity of the supply chain is an important one. We’ve taken steps to make sure that we’re regionally diverse, and that each of those regions has sufficient components second and third sources in it for us to be flexible. In the steel contracting I discussed, that also was done regionally to make sure that we have that diversity of supply going forward. Certainly, we have a large team in India and our team is having to deal with the large second wave, as are some of our suppliers in those regions. The benefit of having that flexible supply chain is our ability to manage that, and to date we haven’t had any significant issues to deal with, with respect to supply.
Pavel Molchanov: Good to hear. Thank you very much, guys.
Tony Etnyre: Thank you Pavel.
Operator: Thank you. Our next question comes from Philip Shen with Roth Capital Partners. Your line is now open.
Philip Shen: Hi everyone, thank you for taking my questions. The first one is on the outlook for these delays. I know you already addressed it a bit, but some of our checks with large developers suggest that it’s not really about projects in ’21 being delayed into ’22, but rather because the large projects are being contracted for today for 2022 COD, there’s risk for 2022 being pushed into 2023. Are you seeing any of that at all in your conversations with customers, where they’re potentially pushing out some of the volume from ’22 into ’23?
Tony Etnyre: Thanks for your question, Philip, appreciate it. Good to talk to you again. I think as we noted, we’re kind of seeing potential shifts of individual projects in that one to two quarter range, which in our experience could push projects from ’21 to ’22, and ’22 to ’23. Given the tracker dynamic from a procurement standpoint, most of our focus now is in late stage ’21 and ’22 projects in those conversations, and so as we engage with customers, we’ll continue to work with them on those timelines.
Philip Shen: Thanks Tony. You talked about the increased opex due to additional wind tunnel testing to expand your product offering. Can you give us some insight into what those new products might be?
Tony Etnyre: Sure, yes. Thanks for the question. Our base Voyager product has nodes at 105 miles an hour, 120 miles an hour, and 135 miles an hour. The Voyager Plus product, which we released and are installing now at a large site in the U.S. for large format modules, also has those nodes at 105, 120 and 135, and so that wind tunnel testing is all about the validation of that large format module product at all of those wind speeds. We are continuing to work on those higher wind regions to complement that portfolio. 
Philip Shen: Great, thanks. Then in terms of the Australian projects awarded, can you share the size of those projects - how meaningful were they, and then also as it relates to the awarded and executed projects, I think you had an incremental $280 million to your orders. Is it possible to share what the mix is between awarded and executed? Thanks.
Tony Etnyre: Sure, so from an Australia standpoint, those two projects were both single-digit megawatt projects, high single-digit megawatt projects. What’s important for us in there is getting a footprint in region. In each region, it’s very important to have a proof point, so for us that’s a very important proof point in the Australian market.
Patrick Cook: As it relates to our contracted and awarded projects, we’re continuing to work with our customers for the ones that are not signed but awarded, to execute those contracts here in the very near term in accordance with the project delivery schedules. As Tony mentioned, we see no delays in those projects towards the back half of the year, and execution and contract will come commensurate with customary project timelines.
Philip Shen: Great, okay. Thank you both. I’ll pass it on.
Tony Etnyre: Thanks Phil.
Operator: Thank you. Our next question comes from Julien Dumoulin-Smith with BofA Securities. Your line is now open.
Julien Dumoulin-Smith: Hey, good morning team. Thanks for the opportunity. If I can follow up on the international awards, I think you mentioned a couple projects in Australia. Can you elaborate a little bit more on the additional wins that you alluded to in ’21? How do you think about the composition and specific project awards potentially coming forward, if you think about the back half?
Tony Etnyre: Sure, thanks for the question, Julien. To reiterate, the award wins that we noted are predominantly United States. Those first two wins in Australia represent the first international wins in 2021 for the business. Those are clearly very important for us as a marker for growth, and so as Patrick noted, we still expect in the second half the dominant portion of our revenue to be in the U.S. while continuing to make progress across a couple of regions internationally.
Patrick Cook: I think the key point on that, Julien, is we do have and deploy boots on the ground in Southeast Asia, sub-Saharan Africa, Middle East, North Africa, Australia, Latin America and Europe. Most of those sales leads have been on the ground for over a year now and have really been instrumental in helping us develop the pipeline over the last year and giving us the confidence in the conversion in the back half of the year for more international wins.
Julien Dumoulin-Smith: Got it. All right, fair enough. Then if I can ask a little bit more of a higher level question on the cost road map as you see it, how do you think about the inflationary pressures? Obviously the bulk of these are being passed through to customers, perhaps freight a little bit less transparently so. You’ve got some mitigating factors. How do you think about the execution of the cost road map and that translating to sales as you start thinking about bidding in that cost road map into your back half in ’22 backlog, if you will? Should we start to see that acceleration pick up in the back half of the year relative to your peers, if you think about it?
Tony Etnyre: Yes, great question, Julien. We have a very rigorous cost road map process, and so it’s the aggregation of multiple individual projects with detailed timelines, resources and expectations for delivery of savings. We’re able to take that information and be forward looking about how that translates to the overall product cost, and able to use that in our sales process as appropriate for bidding. I think that structure is very important to help us drive that visibility. I think as we continue to drive that cost road map, obviously it has opportunity for margin improvement for our business as well as our continued ability to drive the value of our product in our sales strategy. We believe that the sales strategy of our product is not solely ASP driven. We talked about the additional construction cost reduction benefits of the product, the yield enhancement benefits of SunPath, and so we’ll always look to present the product and its full value to the customer in the sales process. Patrick noted we expect to see sequential improvement in the second half from a revenue standpoint. We believe that’s the aggregate of us continuing to gain traction in the business and us continuing to demonstrating value to the customers.
Julien Dumoulin-Smith: Got it. Lastly, any further strategic thoughts on repositioning here? You’ve got cash on balance sheet, etc. Any elaboration on--I know it’s recently accrued here, but any initial thoughts?
Patrick Cook: Julien, none to speak of or share with you today. I’d say as part of our ongoing process, we’re always looking for opportunities to find ways to increase shareholder value through M&A or other avenues. We have a team and a rigorous process that we continue to outward look and evaluate those opportunities as they come up; however as of today, we have no specific opportunities to speak of.
Julien Dumoulin-Smith: All right, I’ll leave it there. Thank you all. Best of luck.
Tony Etnyre: Thanks Julien.
Operator: Thank you. As a reminder, to ask a question, you will need to press star, one on your telephone.  Our next question comes from Moses Sutton with Barclays. Your line is now open.
Moses Sutton: Hi, congrats on the first quarter as a public company.  Looking at the comments in the press release, is there a specific steel index you’re using or looking at or benchmarking against? I’m just looking at a Bloomberg composite steel price index and it’s flat from April 30 IPO to now, it went up, and then retraced. Just trying to bridge that with the release where you note a 19% or 18% increase in steel since the IPO. 
Tony Etnyre: Yes, thanks for the question, Moses. Because we are a procurer of steel from multiple regions, we look at the steel pricing from those three main regions, from India, from the U.S., and from China, which is a good proxy for our Southeast Asia business. What we’re looking at is the hot rolled coil mix for costs in each of those individual regions that’s representing that growth, or increase.
Moses Sutton: That’s very helpful. Then with the project backlog, the 326 split almost evenly ’21 and ’22, can you explain the--it seems almost counterintuitive for that much to be in 2022. How much is one big order or was a large project, some of it the delay that you’ve already been referring to? Maybe you could provide some color there on the split. 
Patrick Cook: Yes Moses, I can answer that. In term of the project and the split in 2022, there are several projects--it really gets broken out in two camps, a couple large projects that are slated to start construction in Q4. Part of the revenue will be recognized in Q4 with a continuation into 2022. Now we do have a couple of discrete projects that are in 2022 on a standalone basis, made up of some relatively large projects, but it’s a little bit of a mix between carryover from 2021 into three projects in 2022. Most of the revenue is tied to carryover from 2021. 
Moses Sutton: Okay, that’s very helpful. Of the 159 and 167, can you provide percentages, or maybe just of the total, that are final project contracts versus they’re still open orders that you need to go through the contracting process? 
Patrick Cook: Moses, as we talked about, where we are with some of these projects, we do have in certain timelines, project timelines, we do have the contracted assets. As it relates to some of the ones that are in Q3 and Q4, we are in current negotiations to ink those contracts in accordance with those delivery schedules, so that is the documentation portion that we’re working through in order to ink those back half of the year projects that are currently sitting in the awarded bucket.
Moses Sutton: Got it, that’s very helpful. Increasing pricing on those new contracts, can you give any directional amounts you’ve already been able to pass through, even if it’s in a few cases, maybe on a cents per watt basis or any metric that you think would sort of give us help here? Just trying to think through--I know you gave comments overall in the business to hit profitability by 4Q, but just trying to get a sense on how to bridge this on a margin basis even a little bit more.
Patrick Cook: I think, Moses, I pointed to a couple different initiatives that we took that gave us clarity. We went out, as Tony mentioned, went to a steel--procured steel for the majority of the back half of 2021, and so that gives us clarity on our overall cost structure of steel through the back half, as well as logistics. We came up with and implemented an alternative solution that allows us better visibility and better control on our overall cost structure through the back half of the year as well in an uncertain environment.
Moses Sutton: Got it. Just last one, maybe to clarify the last question a little bit, can you give maybe a directional amount on the percent that you’ve increased your price?
Tony Etnyre: Well, it’s a customer by customer communication and conversation based on the long term relationships and pipeline of those customers, and so it’s a--I think it would be unfair to give one number as that would be--it’s not consistent from customer to customer. But I would just say if you reflect on the price increases that we noted in the markets, we’re looking to make sure that we are passing those through to customers to make sure that we’re continuing to drive the profitability of the business.
Moses Sutton: Great, very helpful. Congrats again. 
Patrick Cook: Thanks Moses.
Tony Etnyre: Thanks Moses, appreciate it.
Operator: Thank you. I am not showing any further questions at this time. I would now like to turn the call back over to management for closing remarks.
Tony Etnyre: Thank you very much, and thank you to everyone for joining us today and for your interest in FTC Solar. I’d like to extend a special thanks to all of our employees across the company for their hard work, dedication and determination in helping us get to this point. I want to thank you for rising to meet every challenge, every day as we support our customers and work as one team to create value for our shareholders. Thank you very much. 
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.